Operator: Good day, and welcome to the Synaptics Second Quarter Fiscal 2018 Conference Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Jennifer Jarman. Please go ahead.
Jennifer Jarman - The Blueshirt Group, LLC: Thank you, Shannon. Good afternoon and thank you for joining us today on Synaptics second quarter 2018 conference call. With me on today's call are Rick Bergman, President and CEO; and Wajid Ali, CFO. This call is also being broadcast live over the web and can be accessed from the Investor Relations section of the company's website at synaptics.com. A quick reminder that we have posted a supplemental slide presentation on our Investor Relations website. The supplementary slides have also been furnished as an exhibit to our current report on Form 8-K filed with the SEC earlier today and add additional color on our financial results. In addition to the company's GAAP results, management will also provide supplementary results on a non-GAAP basis, which excludes share-based compensation, acquisition-related costs and certain other non-cash or recurring or non-recurring items. Please refer to the press release issued after market close today for a detailed reconciliation of GAAP and non-GAAP results. Additionally, we would like to remind you that, during the course of this conference call, Synaptics will make forward-looking statements. Forward-looking statements give our current expectations and projections relating to our financial condition, results of operations, plans, objectives, future performance and business. Although Synaptics believes their estimates and assumptions to be reasonable, they are subject to a number of risks and uncertainties beyond our control and may prove to be inaccurate. Synaptics cautions that actual results may differ materially from any future performance suggested in the company's forward-looking statements. We refer you to the company's current and periodic reports filed with the SEC, including the Synaptics Form 10-K for the fiscal year ended June 24, 2017, for important risk factors that could cause actual results to differ materially from those contained in any forward-looking statement. Synaptics expressly disclaims any obligation to update this forward-looking information. And with that, I will now turn the call over to Rick Bergman. Rick?
Richard A. Bergman - Synaptics, Inc.: Thanks, Jennifer. And I'd like to welcome everyone to today's call. I'm pleased to report that total revenue for the second fiscal quarter of $430.4 million was in line with our projected range. As expected, our consumer IoT business accounted for roughly 25% of total revenue during the period. On the bottom line, we posted a GAAP loss per share of $2.42, primarily reflecting one-time tax charges related to the recent tax law changes, while non-GAAP earnings per diluted share of $1.11 was towards the high end of our projected range. It was great to meet with many of you at our December Analyst Day event and again at the CES in January. Our goal was to deliver a better understanding of Synaptics 3.0 and the major transition that the company has made to diversify our portfolio and customer base and to highlight the boundless opportunities ahead of us through consumer IoT. Essentially, we are already starting to see the benefits of this transformation materialize. As you've heard from many of our industry counterparts, Synaptics is not immune to the softer than expected mobile demand trends that have recently surfaced in China. Yet, we are forecasting only a 7% sequential revenue decline at the mid-point for fiscal Q3, during the weakest seasonal quarter of our fiscal year. This is being aided by anticipated year-over-year growth of over 35% from our newly acquired IoT businesses. We expect growth to resume in fiscal Q4 due to normal seasonality and the ramp of new products. Synaptics is now uniquely positioned at the center of the smart device market from a human interface perspective, capitalizing on the sharp growth and adoption of voice in bringing intelligence to the edge. We believe this bolsters our winning strategy with our well-established core mobile business providing a level of scale and technologies that are crucial for success, and consumer IoT providing a new customer-based markets and products along with key ecosystem partners. Combined with our sales and marketing channel, we are also primed to leverage these assets in adjacent market such as PC, automotive and AR/VR where we have the opportunity to continue to drive growth, further deploy our technologies and enhance our gross margin profile. At CES this year, we showcased the world's first Clear ID in-display fingerprint solution on the new Vivo flagship smartphone, the X20 Plus UD, which is available now at retail. Synaptics Clear ID was arguably the biggest mobile phone innovation featured at CES. Reporters from around the world swarmed our booth for four days to witness what is clearly a very highly desired feature in innovation for infinity display phones. In fact, Clear ID won 10 Best in Show award at CES and garnered hundreds of positive headlines. I'd like to pause to thank our team for all of the hard work to get this exciting product to market. Synaptics is extremely proud to be the pioneer bringing this technology to market, and it was a truly groundbreaking effort. The public announcement of the technology in the Vivo phone has driven substantial interest in design engagements with other marquee mobile OEMs. And we expect to see multiple product launch with Clear ID in calendar 2018. Now, let's drill down into the specifics around Q2, starting with our mobile business. Some of the newest technologies we introduced in the quarter are our TDDI and DDIC chip-on-film solutions or COF. Chip-on-film creates a new growth opportunity for us. It enables infinity displays on LCD phones. Specifically, chip-on-film is a key enabler of very narrow bezels by folding the TDDI chip or DDIC underneath the LCD panel. We believe LCD panels will remain an important part of the smartphone market for the foreseeable future in light of the inherently higher price points for OLED panels, which also continue to be in limited supply. Chip-on-film further links into the runway for LCDs, as display manufacturers are motivated to extend existing capacities. LCD infinity displays are a top request from our major customers, and Synaptics is quickly establishing itself as a leader in this market. We already have 20 chip-on-film engagements underway. Our first design is in production today, and we expect to deliver meaningful volumes early in the September quarter. We also announced the expansion of our OLED DDIC portfolio with two new solutions, the R66455 for full HD+ panels and the R66451 for QHD+ panels. These new DDICs leverage the company's best-in-class image processing and state-of-the-art technologies designed to enhance OLED displays. Key features of both solutions include support for the trend of extra-long displays up to 20:9 and processing for rounded corners and special notch cutouts. Both are available on chip-on-film packaging, and we already have over 10 design in the major display manufacturers, with the initial revenue expected in the June quarter, as we have just received our first mass production orders. I'll now move to our IoT business, which encompasses (00:07:54) our AudioSmart, ImagingSmart and VideoSmart platforms. At CES, we showcased a myriad of products from smart speakers to headphones with whisper technology (08:03) to smart set-top boxes. Synaptics entry into the consumer IoT market has proven to be extremely well-timed, particularly for voice-enabled products. You are well aware that we are at a key inflection point here with voice representing one of the most exciting trends in the consumer electronics market in recent years. With our AudioSmart solution, Synaptics is well-poised to capitalize on significant growth opportunities as voice continues to rapidly proliferate on all the major global voice service platforms, including those for Microsoft, Amazon, Google, Baidu, LINE and others. We jointly announced an initiative with Microsoft to facilitate fast, cost-effective deployment of voice-enabled solutions with Microsoft Cortana that leverages Synaptics AudioSmart far-field voice DSP technology. The collaboration includes ODM partner programs, reference designs and rapid development kits, specifically tuned to support the Microsoft Cortana ecosystem, including Skype. This includes intelligent home speakers, PCs, mobile devices, smart home appliances, automotive and beyond. During CES, we also announced that our AudioSmart far-field voice DSPs have been selected by Harman International for the Harman/Kardon Allure and the Allure Portable voice-activated smart speaker family. We continue to lead the industry with far-field integration into different types of consumer IoT devices, and we expect over 30 new customer product launches in calendar Q1. During CES, several Alexa-enabled products were announced that are powered by Synaptics voice DSPs, highlighting the diversification of products integrating voice. This includes smart bathroom ears by Kohler, a television sound bar from Polk, a smoke alarm by First Alert, a Wi-Fi router by ASUS, and a plug-in charger for cars by Anchor (10:01) for enabling navigation, hands-free calling and music streaming. In China, there are also two announcements tied to our collaboration with Tencent. One is a set-top box with our voice DSP and another is a home assistant with a display. Regarding our AudioSmart business for personal audio for headphones and earbuds, we announced that we are partnering with Goertek, a large ODM based in China, focused on acoustic components. Goertek has adopted our innovative hybrid active noise canceling technology for a range of new USB-C headphones. At CES, we also showcased our ImagingSmart technology with both Polaroid and HP. These companies are using our image processing expertise for fun and portable instant digital cameras and printers, including the Polaroid Snap and Pop, and the HP Sprocket family. On the VideoSmart side of our IoT business, products continue to ship in a number of platforms worldwide, ranging from IPTV and OTT solutions for service provider platforms, to personal digital assistant platforms, and platforms like the Sony PlayStation VR. Also last quarter, we saw a significant sell-through and adoption of the Google Home Mini, which utilizes our SoC. We also expanded our footprint in the service provider TV market. Our video solutions are enabling the recently announced CANAL+ mini-decoder used for multi-room TV deployments. CANAL+ is one of the largest satellite operators in Europe. In addition, we see continued worldwide adoption of Android TV set-top boxes, including Foxtel in Australia, who is now using our SoC to enable their recently announced 4K Ultra HD set-top box manufactured by Technicolor. Moving to our notebook PC business, we continue to lead in market share with our TouchPad, fingerprint sensors and audio solutions. New designs in the quarter includes our Natural ID capacitive fingerprint solution on products from Acer, Dell and Lenovo. And HP, Dell and Lenovo have adopted our TouchPad and ClickPad solutions on nine different new models. Let's touch on our automotive business where we are making strong progress in leveraging our touch display, fingerprint now voice technologies. While the design cycles are long, we're achieving strong momentum in automotive design cycles. Our success is accelerating because Synaptics is uniquely positioned to bring a broad array of consumer technologies to this market, setting us apart from many of our competitors who don't have as extensive a pipeline of technology. Based on this progress, at our Analyst and Investor Day we were able to share that we now expect to quadruple our revenue from the auto market over a five-year time horizon. While smartphone trends and seasonality are tempering results in the first half of the calendar year, we have a lot to be excited about as we look at the broader picture for growth in calendar 2018. A little over a year ago, we had just begun to talk about our investments in infinity displays. We began sampling products in the second half of calendar 2017. Now, we've begun initial mass production and expect a ramp to full mass production in the second half of the calendar year. Coupled with our strong product introductions in OLED and chip-on-film, we expect momentum stemming from our investments in infinity displays and consumer IoT to become clear in the second half of the calendar year. As we said at Analyst Day, we believe these are also among the multiple vectors of organic growth towards reaching a $2-plus billion model by fiscal 2020. With the transformation of our company to support a strong sustainable business model and a differentiated technology portfolio, along with positive diversification of our customers and products, we believe we are well-positioned to achieve growth both – within both our core business and new consumer IoT platform. Along with our resolute focus on expense management and the proper alignment of our investments, we expect this target model to result in continued generation of meaningful cash and substantial growth in EPS. With that, let me hand it over to Wajid.
Wajid Ali - Synaptics, Inc.: Thanks, Rick. Revenue for the December quarter was $430.4 million, in line with our guidance range. Second quarter revenue was up 3% sequentially, primarily reflecting the anticipated increase in IoT revenue from our first quarter acquisitions of Conexant and the Marvell multimedia business, partially offset by declines in our mobile and PC product revenues. Year-over-year, December quarter revenue was down 7%, again reflecting declines in our mobile and PC product revenues, partially offset by an increase in IoT revenue driven primarily from our acquisitions. During the quarter, we had two customers above the 10% revenue threshold, both at approximately 12%. As reflected in the presentation materials released in advance of this call, revenue from mobile, IoT and PC were 61%, 25% and 14%, respectively, in the December quarter. Revenue from mobile products was down 11% sequentially and down 30% compared with the year ago quarter. Revenue from PC products was down 6% sequentially and 3% year-over-year. Revenue from IoT products was up 81% sequentially and 412% compared with the year ago quarter. I'll now provide a high-level review of certain of our December quarter GAAP results and will follow with the corresponding non-GAAP results. For the December quarter, our GAAP gross margin was 26.8%, which includes $20.2 million of intangible asset amortization, $18.2 million of inventory fair value adjustment charges, and $700,000 of share-based compensation costs. GAAP operating expenses in the December quarter were $139.2 million, which includes share-based compensation of $17.1 million, restructuring and severance-related cost of $6.6 million, and acquisition-related cost of $5.4 million. Our GAAP tax of $53 million for the quarter primarily reflects a $54 million discrete tax charge for both the impact of the one-time transition tax on our accumulated foreign earnings and write-down of deferred tax assets for tax law changes under the recently passed tax act. In the December quarter, we had a GAAP loss of $82.4 million or a loss of $2.42 per share. Now, turning to certain of our December quarter non-GAAP results. Our December quarter non-GAAP gross margin of 35.9% was in line with our guidance range and primarily reflects our overall product mix. December quarter non-GAAP operating expenses came in towards the low end of our guidance. Non-GAAP operating expenses were $110.1 million, up $4 million from the preceding quarter. The increase primarily reflects the incremental operating costs of the acquired businesses. Our non-GAAP tax rate was 13% for the quarter, unchanged from our guidance and excludes the impact of the one-time transition tax on our accumulated foreign earnings. Non-GAAP net income for the December quarter was $38.2 million or $1.11 per diluted share, an 8% sequential increase, but down 26% year-over-year. Turning to our balance sheet. We ended the quarter with $252 million of cash, an increase of $52 million from the preceding quarter. The increase in cash during the quarter was primarily driven by $63 million of cash flow from operations. On the topic of cash, we expect to have freer access to our foreign cash as a result of the tax act. While we had mechanisms in place to access foreign cash, that access had been subject to certain restrictions that have been removed under the tax act. Further, despite the GAAP tax impact of the tax act that I mentioned earlier, the cash impact is expected to be about $11 million after utilization of business credits and will be payable over eight years. Receivables at the end of December were $236 million and DSO's were 49 days, while inventory churns were eight and inventories were $141 million, which included $5 million of fair value adjustments. Capital expenditures for the quarter were $15.8 million and depreciation was $8.8 million. Now, I will make a few comments regarding our quarterly outlook. Based on our backlog of approximately $252 million entering the March quarter, subsequent bookings, customer forecasts, product selling and sell-through timing patterns as well as expected product mix, we anticipate revenue for the March quarter to be in the range of $380 million to $420 million. We expect the revenue mix from mobile, consumer IOT and PC products in the March quarter to be approximately 61%, 23% and 16%, respectively. As Rick indicated, we expect the seasonally low fiscal third quarter to be at trough, with a return to sequential growth in fiscal Q4. I'll now provide GAAP outlook data for our March quarter and will follow with non-GAAP outlook data. We anticipate the stock-based compensation charge in the second quarter to be in the range of $17.5 million to $18 million. GAAP operating expenses in the March quarter are expected to be $125 million to $135 million, and are expected to include restructuring charges in the range of $2 million to $3 million. In addition, we expect March quarter GAAP operating income will be net of non-cash charges of approximately $23 million for intangibles amortization, of which approximately $20 million is expected to be reflected in cost of sales. In addition, fair value inventory adjustments to be reflected in cost of sales are expected to be approximately $5 million. Finally, we expect our GAAP tax rate for the next quarter to reflect any adjustments to our current quarter provisional estimate of the tax act impact. I will now provide non-GAAP outlook data for our March quarter. We expect non-GAAP gross margin in the March quarter to be between 35% to 37%. We expect non-GAAP operating expenses in the March quarter to decline to approximately $106 million to $110 million, reflecting quarter-over-quarter cost savings from our restructuring initiated in mid-November of last year. Regarding our long-term non-GAAP tax rate, for now we will maintain our guidance in the range of 12% to 14%. While the federal corporate tax rate has been reduced, there are provisions of tax reform that will offset some of the potential savings, and some savings will be muted by our existing tax operating structure. As technical guidance and interpretation of the tax act solidifies, we will complete our assessment of our non-GAAP tax rate and will provide an update at that time. Non-GAAP net income per diluted share for the March quarter is anticipated to be in the range of $0.80 to $1 per share. To conclude my remarks, we are pleased with our Q2 results and our outlook for fiscal Q3. We are incredibly excited about how our product and customer roadmaps are expected to unfold, creating the opportunity for strong success in calendar 2018. With that, we will now turn the call over to the operator to start the Q&A session. Operator?
Operator: Yes, sir. Thank you. We will first move to John Vinh with KeyBanc.
John Vinh - KeyBanc Capital Markets, Inc.: Hi. Thanks for taking my question. My first question is on mobile. You've talked about your mobile outlook; looks like it's going to be down 7%. Given the weakness in China, it looks like many of your peers have talked about China being down in the 20% to 30% range, and then you've also got the Samsung business falling off in the March quarter. Can you talk about what the offsets were in your mobile business that you expect to be better than seasonal there?
Wajid Ali - Synaptics, Inc.: So, actually let me start off. So the overall business was coming down by about 7%. The mobile business sequentially is actually coming down by more than that. So, we've got the capacitive business that's expected to come down sequentially, probably a little bit more than we expected, but our new products are expected to offset that a little bit.
John Vinh - KeyBanc Capital Markets, Inc.: Got it. Thanks. And then, my follow-up question is related to your chip-on-film business. You talked about being in mass production in calendar Q3 this year. Can you talk about where you expect your initial design wins in types of phones and types of customers? Are we talking kind of Tier 1 customers, flagship phones or these mid-tier phones? And then just also related to the chip-on-film business, I just wanted to understand what sort of competitive differentiation do you have in COF? Or is this a market that many of your display driver peers can also kind of be fast followers on?
Richard A. Bergman - Synaptics, Inc.: Sure. Thanks, John. In some ways, COF or chip-on-film is a very broad initiative that's happening in the industry. So, kind of my broad answer to all of your questions was yes, because it's impacting almost all segments, both LCD and OLED, given the importance of maximizing the screen display on any type of display. So to kind of step through your different pieces of your question, yes, we're seeing it with large customers as well as mid-sized customers, which we tend to work closely with both on LCD and OLED panels, both DDIC and TDDI as well. Now, it's not 100%, of course, of our business, but it will be very meaningful. And as I mentioned in the prepared remark, we're actually in mass production now with one mid-sized smartphone OEM and expect a real uptick in business early in calendar Q3. Now in terms of differentiation, chip-on-film is generally available out there. We'll add additional price to our solutions. There are some complexities, especially when you get to the higher resolution or OLED type of phones. And so we feel like we're establishing the right relationships first in the supply chain to give us the preferred position from a technology as well as potentially a capacity perspective.
John Vinh - KeyBanc Capital Markets, Inc.: Thanks.
Operator: We'll go ahead and take our next question. We'll take Kevin Cassidy with Stifel.
Kevin Edward Cassidy - Stifel, Nicolaus & Co., Inc.: Yes. And thanks for taking my question. Can you maybe give us little more details around the gross margin lift that you might be seeing through 2018?
Wajid Ali - Synaptics, Inc.: Yeah, sure. So, Kevin, we've outlined our gross margin profile to be 34% to 37% in the near-term and then for it to improve over time at a model level. You've probably known for the last two quarters, we've actually been operating more in the 35% to 37% structure for the last six months or so. And that – a lot of that benefit has really kind of come from our IoT business being a greater proportion of our revenues, as well as some of the new products that we're launching in the mobile space. So, now, how quickly that moves from our near-term model to our mid-term model that we presented at the Analyst Day still remains to be seen as the quarters go and kind of the new products ramp. But that's what we've been seeing for the last couple of quarters. And we certainly expect it to remain at least at that level of in the foreseeable future, and hopefully improving.
Kevin Edward Cassidy - Stifel, Nicolaus & Co., Inc.: Okay. Great. And maybe just other detail on the chip-on-film design wins that you had. Are they all with the LCD manufacturers or are you working with handset manufacturers also?
Richard A. Bergman - Synaptics, Inc.: Okay. Well, Kevin, it's – to a certain degree, it's dependent. Again, like I answered, John, both. In some cases, the LCD manufacturers when they extend their capacity and life of their LCD manufacturing facilities, and they work closely with us on how to – with the technology to bring the infinity displays through LCDs. Conversely, some of the OEMs have seen that opportunity and they worked with us to then work with multiple LCMs with this type of solution.
Kevin Edward Cassidy - Stifel, Nicolaus & Co., Inc.: Okay. Great. Thanks.
Operator: Next question comes from Rob Stone with Cowen and Company.
Robert W. Stone - Cowen and Company, LLC: Hi, guys. The first thing I wanted to ask about is sort of your segment mix guidance in March. You announced a bunch of IoT win, but PC is meant to be up a little bit in the mix and IoT down. Should we see, call it, sort of a stair step seasonal pattern for IoT from here in terms of the way the volume from those design wins built?
Richard A. Bergman - Synaptics, Inc.: Rob, good question. And as I mentioned in the scripts, year-over-year we had 35 – we project 35% growth. So, overall, our IoT business is growing pretty strong. That's from the acquisition-based growth. We had some existing IoT business with Synaptics which that number did not include. So, we're still learning this business to a certain degree. But based on all the design wins and momentum that we see, certainly we would expect this quarter for IoT as everybody's trying to take a pause after the holiday's purchases to be our lowest quarter, and then the momentum or natural overall growth kicking in and IoT helping out calendar Q2. And then, of course, it is a seasonal business with some of those products that I talked about really leading up to a strong second half for our IoT business.
Robert W. Stone - Cowen and Company, LLC: Okay. A question for Wajid on operating expenses. Came in at the low end of the range this quarter, just reported, and you're guiding down again for March. I know you're not giving full details for Q4. But I think you alluded to revenues rebounding sequentially. Will you still be getting benefits from restructuring that could take OpEx lower in the fiscal Q4?
Wajid Ali - Synaptics, Inc.: Yes. So, our plan right now is for fiscal Q4 to exit at about $105 million a quarter of OpEx. That can kind of range a little bit. But that's basically our target for fiscal Q4. Our second quarter didn't get the full impact of the restructuring benefit because the restructuring happened in November. And so what you really see happening in fiscal Q3 is more of a fuller impact on a full quarter for our operating expenses. And then we have a couple of more things that we're enacting – that we have planned on enacting that will actually favorably impact the P&L in fiscal Q4. But our plan is to exit fiscal Q4 at about $105 million a quarter.
Robert W. Stone - Cowen and Company, LLC: Okay. Can I squeeze in just one more quick one? You alluded several times to inventory fair value adjustment. Is that ongoing? Can you let us know what's (00:32:09)?
Wajid Ali - Synaptics, Inc.: Yeah. I mean, that's just related to the acquisitions. It's related to the IoT business. So, when we acquired them, we had a step-up of fair value on the inventory, and that gets amortized generally for six to nine months. And so that should go away next quarter or maybe a little bit before, but most likely it should all go away by fiscal Q3.
Robert W. Stone - Cowen and Company, LLC: Great. Thank you.
Operator: Next question comes from Vijay Rakesh with Mizuho.
Vijay Raghavan Rakesh - Mizuho Securities USA LLC: Yeah. Hi, guys. Just wondering, as you ramp your OLED in-display, there's been some commentary on – about yield and supply tightness there, so just wondering how that ramp looks. And if you can update what your full year looks like now on the top line.
Richard A. Bergman - Synaptics, Inc.: I'll talk about OLED transition, and Wajid can talk about the overall year. So, in terms of OLED, in some ways it's rolled out pretty much on target to what we've been talking about for at least the last year, year-and-a-half or so. So, we've been working with multiple OLED partners, providing actually now two generations of samples to them. And as you heard from our prepared remarks or also in our press release, we now have mass purchase orders, which means we have been qualified, which is a very significant step. And B, that also means is a couple of those OLED panel manufacturers are also prepared to go to mass production later in calendar Q2, and then significantly ramping up in the second half of the year. So, we feel we're well-positioned and that's rolling out kind of as we expected. There is tightness in the market, but with additional OLED panel suppliers coming on in China, Japan and Korea, it certainly presents opportunities for our technology as we go through the back half of calendar year 2018 and then certainly in 2019.
Wajid Ali - Synaptics, Inc.: Yeah. So, Vijay, on your other question regarding the year, it's a little early to bracket Q4, especially with the number of product transitions that we've got occurring. As we said in the prepared remarks, our Q3 is our seasonal trough, and we expect fiscal Q4 to grow sequentially over Q3. It's probably a little lighter than what we had thought a couple of months ago, primarily because we've had some sizable chip-on-film implementations that have moved from fiscal Q4 to our fiscal Q1. So, the customer is still there, the demand is still there, the product is executing well. It's just been a little bit of a shift from fiscal Q4 to Q1. But again, we don't want to bracket it at this point because we've got some moving pieces, but we do see some sequential growth into fiscal Q4, simply because of seasonality and new product ramps.
Vijay Raghavan Rakesh - Mizuho Securities USA LLC: Sure. Got it. Just on the voice side, obviously, impressive list of design wins there. Just looks like you guys got everybody carpeted there. But just wondering how sticky is that business? I mean, you are seeing some of the Amazon Alexa, where Qualcomm is kind of coming in with a connectivity voice solution as well. Can you talk to the stickiness and your roadmap there? Thanks.
Richard A. Bergman - Synaptics, Inc.: Sure. So, we're certainly not sitting still on our roadmap. And at the end of the day, in a lot of ways, it's our algorithms and audio expertise that's been build up over a decade that came in from our Conexant acquisition that provides some pretty good differentiation. I don't want to, call it, bracket any particular competitors, but there's some, call it, processor companies and some communication companies that certainly have strength in those areas. But that's not what's differentiating voice solutions. It's the ability to do far-field voice, echo cancellation, management of the microphones in all different environments with different set-ups with a round speaker. All these different things you don't learn overnight. And so, again, the team has been accumulating that knowledge. In terms of stickiness, it depends on the customer, certainly some high volume. They are going to look to refresh annually. But there's other things that I mentioned, as voice becomes prolific across many industries, they're looking for a known good solution and they want to design the mirror that I talked about for a couple of years, two, three years. And so once we get those design-ins, they're not huge volumes, like the personal digital assistance, but as you heard me rattle off some of those names, you know those names well, Kohler or Polk, very well-known in their own particular industries. And so we got a nice lead there that will – and it will be quite sticky.
Vijay Raghavan Rakesh - Mizuho Securities USA LLC: Thanks.
Operator: Next question comes from Rajvindra Gill with Needham & Company.
Rajvindra S. Gill - Needham & Co. LLC: Thank you and congratulations with all these new products and new end markets that you're going into. Rick, a question on OLED. You talked about kind of the non-Koreans, the Japanese or Chinese ramping up panel capacity to support demand. Can you characterize the competitive landscape on the merchant display driver side, how you're positioned against the competition there? That would be my first question. Thank you.
Richard A. Bergman - Synaptics, Inc.: Sure, Raj. Great question. As we've seen from the capital investment from the Chinese and, to a lesser extent, the Japanese vendors, they're going to be major players in the OLED market going forward. However, they're inventing the technology kind of as they go. And so, as part of that, they want to work with the technology leader. And Synaptics, thanks to the RSP acquisition that we did several years ago, we have the true experts in display drivers in the industry. They understand display; in some cases, 20, 30 years of working with displays, and I go visit our Japanese team. And that innovation in technology is exactly what the OLED manufacturers want to work with is, they want the known technology as they ramp up. And so, I would say, we're kind of the de facto answer right now as these companies are bringing up their OLED manufacturing facilities. So, I really like our position, and we're anxious to see these guys get to high-volume production over the coming 18 months.
Rajvindra S. Gill - Needham & Co. LLC: And on the in-display fingerprint sensor, could you maybe talk about the feedback that you're getting from handset OEMs as they implement in-display fingerprint sensors, say, as an alternative to facial recognition or is it complementary? But it would seem that in-display fingerprint sensor is much cheaper but offers a lot of the same benefits that you would get with facial ID in the sense that you can remove the bezel when you have larger displays, but at a much lower cost. So just wondering if you're seeing that type of demand from that angle.
Richard A. Bergman - Synaptics, Inc.: Raj, you kind of answered your own question. So, yes, that's – the feedback we're getting is it's a very compelling solution. We have – right now, have a Vivo X20 Plus production phone, and it is fantastic. The display is markedly bigger than my other solution that I have. And the price point is quite a bit lower. And so price point is ultimately driven by cost, and certainly at least right now that's an advantage that a in-display solution has. But kind of to drill down on what we really talked about when we talked about in-display is the convenience, the speed, and the security of the solution. And I think that is unmatched by any other authentication technology in the industry.
Rajvindra S. Gill - Needham & Co. LLC: Thank you.
Operator: We next move to Charlie Anderson with Dougherty & Company.
Charlie Lowell Anderson - Dougherty & Co. LLC: Yeah. Thanks for taking my questions. On chip-on-film, it sounds like a lot of exciting things going on there. Wonder if you could talk about the – obviously talk about increasing units but also increasing content, what you're expecting in terms of ASP lift versus your standard LCD display drivers? And then I've got a follow-up.
Richard A. Bergman - Synaptics, Inc.: Sure, Charlie. So, kind of let me answer the specific question and then broaden it because we're getting a lot of questions about chip-on-flex. So, certainly it provides an opportunity for an ASP lift because we're delivering our DDIC along with the chip-on – with the film. So, I don't want to get into that, whether it's 10%, 50% or whatever that number is. But it's a nice incremental ASP that tends to be little more high resolution DDICs in terms of where it's targeted as well, so that certainly helps. But not only do we have opportunity for growth with our chip-on-film solutions in the second half, (00:41:27) our in-display solution is set up for some really nice growth, our OLED DDIC is certainly set up for growth, and then our consumer IoT business is also set up for some real nice growth, along with the chip-on-film.
Charlie Lowell Anderson - Dougherty & Co. LLC: Great. And then as it relates to in-display fingerprint sensor, I wonder if you could just maybe talk about where you feel you are in terms of lead versus the competition, maybe competitive differentiation as this plays out over the course of the next year or two? Thanks.
Richard A. Bergman - Synaptics, Inc.: Sure. So, it's always hard to get a good competitor frankly, because we know what our solution is. So, it's now been qualified and in production and available at retail, anybody can test it and play with it, from a top five worldwide OEM. I don't know of anybody else that would be able to say that in the first half of the year. So, we stand alone from that perspective. That doesn't mean we're not hearing about competition, and, of course, the OEM customers that are considering us for design wins certainly want to keep the competitive fires burning as hot as possible. So, we're not underestimating competition. We've been in this rodeo for a number of years in the mobile business, so we aren't sitting still. We have a whole roadmap of optical and display fingerprints, both from a technology as well as from a cost perspective. And we expect to compete through the course of this calendar year or next year. But we feel, right now, we have the best solution in the industry and we have a nice little lead.
Charlie Lowell Anderson - Dougherty & Co. LLC: Great. Thanks so much.
Operator: We will take a follow-up from Rob Stone with Cowen and Company.
Robert W. Stone - Cowen and Company, LLC: Yeah. Thanks. I had a (00:43:05) question about the optical in-display fingerprint sensor, which is, Rick, does it have to be specifically tuned to the thickness of the display and the color of glass that's being used? And if that's the case, if the end user adds a screen protector, is that going to affect the performance?
Richard A. Bergman - Synaptics, Inc.: So, one of the beauties of our optical solution, and I'll say this more broadly and maybe this plays a little from the question I just got from Charlie about differentiation, is I'm – to my knowledge right now, at least, we're the only one with really active design ins with rigid OLED displays. And the reason we can say that is our particular solution works through a much thicker, when you include the display thickness and the cover glass as well as any screen protector, our solution is more robust than you probably will see from other optical solutions, and especially something like ultrasonic, that's very susceptible if there's changes in material. So, can we work with the screen protectors? Yes, with high-quality screen protectors. Certainly, we can sense through those as well.
Robert W. Stone - Cowen and Company, LLC: Great. Thanks.
Operator: With no further questions in queue, I'd like to turn the conference back over to management for closing remarks.
Richard A. Bergman - Synaptics, Inc.: Okay. Well, thank you, everyone. As you can see, we got a very exciting calendar 2008 (sic) [2018] in front of us. And once again, thanks for participating on our call, and I look forward to either seeing you on the road or talking to you in the near future. Thank you.
Operator: Thank you. Ladies and gentlemen, that does conclude today's conference. We thank you for your participation. You may now disconnect.